Operator: Ladies and gentlemen, thank you for standing by and welcome to the Tempur Sealy First Quarter 2021 Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speaker presentation, there will be a question-and-answer session.  I would now like to hand the conference over to your speaker today, Aubrey Moore, Investor Relations. Please go ahead.
Aubrey Moore: Thank you, operator. Good morning, everyone and thank you for participating in today's call. Joining me are Scott Thompson, Chairman, President and CEO; and Bhaskar Rao, Executive Vice President and Chief Financial Officer. After the prepared remarks, we will open the call for Q&A. Forward-looking statements that we make during this call are made pursuant to the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. Investors are cautioned that these forward-looking statements, including the company's expectations regarding sales, EPS, net income and adjusted EBITDA and anticipated performance for 2021 and subsequent periods involve uncertainties. Actual results may differ due to a variety of factors that could adversely affect the company's business. The factors that could cause actual results to differ materially from those identified include economic, regulatory, competitive, operating and other factors discussed in the press release issued today. These factors are also discussed in the company's SEC filings, included, but not limited to, annual reports on the Form 10-K and the company's quarterly reports on Form 10-Q under the heading Special Notes regarding forward-looking statements and/or Risk Factors. Any forward-looking statement speaks only as of the date on which it is made. The company undertakes no obligation to update any forward-looking statements. This morning's commentary will include non-GAAP financial information. The press release contains reconciliations of this non-GAAP financial information to the most directly comparable GAAP information except as otherwise discussed in the press release as well as information regarding the methodology used in our constant currency presentations. We have posted the press release on the company's investor website at investor.tempursealy.com and have also filed it with the SEC. Our comments will supplement the detailed information provided in the press release. And now with that introduction, it's my pleasure to turn the call over to Scott.
Scott Thompson: Thank you, Aubrey. Good morning and thank you for joining us on our 2021 first quarter earnings call. Our thoughts continue to be with those around the world whose lives have been impacted by the global health crisis. I want to say a sincere thank you to our entire global team, who continue to work hard every day to ensure the safety of our employees and customers. I will begin with a few highlights on our record first quarter financial performance and a discussion about our future growth. Bhaskar will then review our financial performance in more detail. Finally, I'll conclude with an update on our long-term initiatives, some thoughts about capital allocation, and an update on our current market trends.
Bhaskar Rao: Thanks, Scott. Before going into the details, I would like to highlight a few items as compared to the prior year. Gross margin improved 60 basis points to 44%. Adjusted operating margin improved 330 basis points to 18%. Adjusted EBITDA increased 52% to $230 million and adjusted earnings per share increased 88% to $0.64. As Scott mentioned, our first quarter results would have been stronger had we not experienced supply chain constraints for Innersprings and chemicals that are used across the entire bedding industry. While the supply of Innersprings greatly improved during the quarter, the disruption from the winter storm in the Gulf is causing a temporary industry wide reduction in chemical availability. This disruption is impacting commodity prices on what we believe is a short-term basis. These supply issues have impacted our North American Sealy and Sherwood businesses, resulting in our backlog remaining elevated throughout the first quarter and end of the second. In addition, had we been unconstrained we estimate our sales could have been stronger by $80 million to $100 million during the quarter. Based on our current outlook, we anticipate the chemical constraints will largely be resolved by the end of the second quarter. These issues also caused our operations to run inefficiently, reducing this quarter's gross profit by approximately $10 million. We expect the same inefficiencies will repeat in the second quarter. In addition to working through supply constraints, we have also been managing a high inflationary environment for key bedding inputs. We implemented pricing actions in the fourth quarter of 2020 and again in the beginning of the second quarter of 2021 to mitigate the known commodity headwinds. Commodity prices have continued to increase since our last update, as the winter storm has pressured chemical prices, but we believe these increases are temporary. We have chosen to absorb the short-term cost increase for now, but we will take price actions in the future if costs do not normalize. Based on our current commodity outlook, we expect to be negatively impacted by approximately $25 million predominantly in the second quarter, which will not be offset by price.
Scott Thompson: Thank you, Bhaskar. Great job to you and the team. Our competitive positioning and record first quarter earnings are a result of our commitment to our long-term corporate initiatives. These initiatives guide us in our action in jumpstart the flywheel effect that is powering the momentum at Tempur Sealy. Our first key initiative is to develop the best bedding products in all the markets we serve worldwide. We're incredibly proud of the fact that TempurPedic, Stearns & Foster and Sealy products leave the market in each of their respective categories. In our business long-term success starts and ends with products. And both our product portfolio and our innovation pipeline have never been stronger. Tempur has successfully addressed the two biggest reported issues associated with poor sleep, sleeping hot and snoring. Over the years, we've addressed the first difficulty of sleeping hot with our proprietary cooling technology. To address the second issue, snoring, we developed the Ergo Smart Base Sleeptracker. This past quarter we completed the rollout of this Smart Base to our North American third-party retail partners. The Sleeptracker is the only sleep system on the market with technology that automatically detects and responds to snoring. It also monitors key health metrics, and sends personalized sleep analytics and coaching to consumers via a personal app. Retailers continue to tell us they are thrilled with the consumer response to this product, citing improved ASP and adjustable rate attachment rates. As an additional benefit, the sleep data from this product brings us closer to the consumer and provides critical insights for our research and development processes. Turning to Sealy, the number one mattress brand in the U.S. We're proud of the achievements of our Sealy brand. It was rated America's number one selling mattress brand last year. It was most recently voted America's most trusted mattress brand according to 2021 BrandSpark American Trust Study. We continually innovate and invest in the products, and this year we are refreshing the Sealy portfolio with the launch of the new models across our central Posturepedic and Posturepedic Plus line -- lineups. The updated Sealy mattresses offer superior support and include our Sealy Chill and Surface-Guard technology. We expect to complete the rollout of the Essential and Posturepedic mattresses in the second quarter, and to begin shipping the higher end Posturepedic Plus line in the back half of the year. We're excited about these new products and expect they will further extend Sealy's lead as the number one brand mattress in the U.S. Our second key initiative is support our global brands with compelling marketing. Robust order trends combined with the strength of the market has driven us to increase our 2021 advertising investment by an additional $50 million to a projected $450 million. This will be the largest advertising investment in the company's history, and provide even more momentum for growth in the future. Consumers demand for the brand is strong, and our consumer research shows record levels of purchase intent and consideration. Our investments in advertising, our best-in-class sales force, our data driven media investments ensure our products remain top of mind for consumers throughout their purchase journey. A portion of our 2021 advertising dollars is being dedicated towards Stearns & Foster brand. The brand is celebrating its 175th anniversary this year. We have a new campaign that highlights the brand's heritage and high quality products. We believe the amplification of the brand story will raise consumers awareness and consideration for luxury Innerspring and hybrid products, benefiting third-party retailers and the company. Our third key initiative is to optimize our powerful omni-channel platform to be wherever the customer wants to shop. The largest pillar of our omni-channel distribution strategy is our third-party retail partners. We continue to build momentum as we've added to our diverse third-party retail footprint, and now include over 25,000 retail doors. This broad footprint ensures that consumers can easily find and experience our products in person. This is critical to our research as our research shows that about 90% of consumers want to touch and feel a mattress before they buy. We have strengthened our retail relationships with our Retail Edge program, as well as our in depth sales training, innovative advertising solutions, market leading consumer insights, and robust logistics and manufacturing capabilities. To ensure our products are present where and how and when customers want to shop, we continue to expand our own direct-to-consumer channel, both online and with brick-and-mortar retail stores. Our direct-to-consumer channel had a great quarter. In our company owned stores, we saw increased traffic as more consumers felt comfortable shopping in store. And this resulted in double-digit same-store sales growth. Our web sales grew over 100%, which includes robust triple digit growth on our compress bedding products, likely comparing favorable to others in the industry. At the same time, we experienced favorable customer acquisition costs compared to the first quarter of 2020. I want to note that our web sales are still growing at a strong rate even as we begin to lap the triple digit growth rates in prior years. We do expect web sales growth rate to diminish as 2021 the comps get very hard. Our worldwide direct business is on a run rate of over $600 million and is highly profitable. In fact, over the last 3 years our direct business has grown an annual compounded rate of 35%. Another one of our market expansion initiatives is grow our share of North American OEM bedding market business. We believe the OEM market is a sizeable opportunity as the recent enactment of antidumping duties has disrupted the market. We are well equipped to take advantage of this disruption and service the market. Our OEM business performed well in the quarter run slightly ahead of our expectations. Our fourth key initiative is to drive increased profits. We have been and remain committed to balancing top line initiatives with expense control, and operational improvements to optimize profitability. This has enabled us to deliver record earnings in the quarter and positions us to drive earnings growth over the long-term. Turning to capital allocation. Our business generates a significant amount of cash flow as demonstrated by our first quarter operating cash flow of $86 million and a cumulative cash flow of over $600 million over the last 12 months. We've taken key opportunistic capital structuring actions to optimize our balance sheet. Over the last few quarters, we extended the maturity of our long-term debt by 6 years and lowered our annual run rate interest expense by approximately $23 million. We also reduced our target leverage ratio range to 2x to 3x. And we've chosen to stay slightly below the range as we manage through the global health crisis. We view our financial strength and flexibility as a competitive advantage. Under our capital allocation strategy, we run a balanced approach supporting the business, returning value to shareholders via share repurchases and dividends and on an opportunistic basis, acquiring businesses that enhance our global competitiveness. Over the last 12 months, we've allocated capital as follows. Capital expenditures of over $100 million, return to shareholders approximately $460 million. This includes investing over $445 million in share repurchase, which is approximately 6% of our shares outstanding during the period, paying $14 million in cash dividends. Given the progress we've made and confidence that we have in our long-term outlook, we did accelerate our share repurchase this quarter. Also want to briefly touch on our latest order trends. In the U.S., current orders accelerated relative to the first quarter on a 2-year basis, which we view as the most useful comparative given the COVID-19 impact of prior year numbers, making the comps unreasonably low. This acceleration is built upon our prior momentum, and likely also firming economy, a robust housing market and fiscal stimulus related to COVID. We anticipate the temporary lift from COVID relief checks is now behind us. Our international trends are volatile those markets reopen and close and reopen. Company-wide, we are internally targeting second quarter sales growth of approximately the first quarter at about 50% versus the second quarter of 2019. I'm proud of how the entire team stepped up to meet the challenges the pandemic has presented over the last 12 months. There have been a lot of ups and downs during the unprecedent period that the groundwork that we've laid over the previous year's established a strong foundation and it allowed us to become even stronger. The team and I are incredibly excited about what the future holds. With that, operator, will you please open the call up for questions?
Operator:  Our first question comes from Peter Keith with Piper Sandler. You may proceed with your question.
Peter Keith: Good morning and great results, guys.
Scott Thompson: Thank you.
Peter Keith: You may have just answered my question with your -- the Q2 sales guide. But what I did want to ask was the guidance raise was rather significant. It's a little bit uncharacteristic for you guys as earlier in the year to take up guidance that much. Plus you also highlighted $25 million of input cost headwind and $50 million in extra ad spend. So the context of the question is what's giving you the confidence to raise the guidance by this much so far early in the year that may have changed from a couple months ago?
Scott Thompson: Sure. Thank you for the question. Basically everything. I mean, look, the economy worldwide continues to recover from the health care crisis. We've become, I guess more comfortable that we can operate in an environment where stores open and close. I think most everything we see compared to last time we reported to you feel stronger. If you look at North America, I mean, the sales increased 28%. Great number. And as the stores open, we didn't see a slowdown in the online business like we probably -- we did expect. So, no, it's -- it feels good. Yes and from a guidance raise standpoint, we try to keep the guidance in the middle of the fairway. And the strength of the underlying business was such that we felt like we needed to move the guidance up.
Operator: Thank you. And our next question comes from Curtis Nagle with Bank of America. You may proceed with your question.
Curtis Nagle: Thanks very much. Good morning, guys.
Scott Thompson: Good morning.
Curtis Nagle: So -- good morning, Scott. Maybe taking kind of the focus a bit more on the long-term here. So obviously, the numbers right now are just off the charts, really, really strong. But I guess how are you thinking about revenue and earnings growth over say, the next few years? What do you think is a sustainable way to growth and kind of what's the balance, I suppose in terms of North America versus the rest of world. It sounds like international is getting a lot more focus here and you've got new product launches that could be a pretty big. How should we think about that?
Scott Thompson: Sure. Great question. Look, international probably has a larger opportunity over a qualified 5-year period. Our balance of share internationally is relatively small. And I think you can see from our prepared comments, we're focusing on international over the next few years. It's going to take a little while. I think when you talk about core growth rate, look, we've been studying consumer spending on household because obviously the question we get a lot is we will call the share of wallet shift that the world is experiencing. And I guess the best data we've been looking at is from Goldman on their consumer spending in the household category. And to me, it was interesting. I think last year in 2020, total spend in the home category was $314 billion, and certainly was up from 2019 by about 4.5%, which is good. It wasn't up as much as I thought, or at least as much as the chatter, I was stealing from investors. But if you look at that data, we were really on an upward trend for the past 8 years and spend on home. And it was growing from a dollar standpoint of about 2% a year, and yet it ticked up a couple 100 basis points in 2020. We're taking up a couple of 100 basis points, then compare it to our North American growth of 28% growth. So I'll say, yes, we got a little bit of a tailwind from shift to wallet. But the lion share of what you see from a performance standpoint, is clearly the impact of our advertising and the quality of our products, our new growth initiatives, whether it be an OEM or direct, it's driving it. And so that gives me confidence that those initiatives will continue to bear fruit. And we don't really just have a little bit of a sugar high. If you look at a percentage of disposable income, it picked up a little bit too during the period. But it still, I mean, significantly less then, in the U.S we spent in home in 2008, 2007, 2006. So I think there's a more solid foundation for the industry. The other thing that we're seeing, look, when the industry is healthy, the retailers can advertise and certainly drives the market. And I think you've seen that we've defined the addressable market is $50 billion worldwide. So I think we got plenty of room to grow in various areas, including, quite frankly, just the deployment of our cash flow, whether it be in share repurchase, or be in some kind of acquisition, or some other growth initiatives.
Operator: Thank you. Our next question comes from Bobby Griffin with Raymond James. You may proceed with your question.
Bobby Griffin: Good morning, everybody. Congrats on the great results. Scott, I just wanted to touch back on the international clearly exciting time here for the company for growth for next couple of years. You've talked a lot about the product investment. Is there any other kind of capital investments we should be considering or on the expense side as well, to really fund that growth going forward for the next few years from a distribution standpoint, production standpoint or even people on the ground standpoint that we should consider in the model?
Scott Thompson: I don't think so. Bhaskar, help me with that because I mean, as the sales come, we will obviously be adding some people. The  as far as priming from an advertising standpoint, from a production standpoint, the plant there has enough capacity to meet our objectives. So, I don't think so. Obviously, like always, as we talked about in our capital allocation, we'll continue to look at acquisitions that can help us both from a retail standpoint, and from a supplier standpoint worldwide. And we will continue to work in that area, both domestically and international.
Operator: Thank you. Our next question comes from Keith Hughes with Truist. You may proceed with your question.
Keith Hughes: Thank you. My question is on international as well, some fantastic results there in the segment. If you'd look at the rest of the year, well the international segment would be above in to company growth for the year above that 20% you talked about are still a little bit below.
Scott Thompson: No, the international group is going to be below the consolidated group. North America will drive the largest portion of the growth rate in 2021. And I think we're highlighting for you is initiatives that will hit in early 2022.
Keith Hughes: Okay, thank you.
Operator: Thank you. Our next question comes from Seth Basham with Wedbush Securities. You may proceed with your question.
Seth Basham: Thanks a lot and congrats on a strong results. My question is around the Sealy and share with businesses. First of all, the pressures that you're seeing there from commodity standpoint, are they primarily confined to those businesses relative to TempurPedic. Secondly, are the sale the left on the table the $80 to $100 million primarily in those areas and do you expect to capture them pretty much entirely in the second quarter?
Scott Thompson: Thank you. So, I mean, first of all let's talk about the constraints that impacted sales, call it $80 million to $100 million of foregone sales in the first quarter in North America, that primarily would have been in Sealy and Sherwood and maybe a little bit in OEM. I think it's interesting. If you added those sales to our North American sales number, they probably put, I don't know, 9% or 10% growth rate on it, rather than 28% if you're into doing adjusted sales, I guess, unconstrained, I guess we've been getting close to 30%. So I guess I'd make that point start with. On commodity increases, look, the commodities hit everything. They don't hit just the Sealy and Sherwood brand, they certainly hit the Tempur brand also, but we had plenty of supplies from a chemical standpoint, for Tempur and Tempur is build to fill the stock rather than build to order. What else was in his question Bhaskar  missed?
Bhaskar Rao: How does that $80 million to $100 million going to come back.
Scott Thompson: I don't know. I mean, you tell me. I think we'll learn a lot more over the next few weeks as other people report their earnings. Certainly we were constrained from because of Innerspring some of the first quarter although as we sit on the prepared remarks, our major supplier did a great job. And from a Innerspring standpoint, we think that's behind us, but it still was disruptive force in the first quarter. And in the chemical event was really an event from the freeze that was a mess in the first quarter and we're going to feel the effects of it. Some in the second quarter. I think Bhaskar called out that impacted our plants, also from an efficiency standpoint. And so although first quarter -- look, the first quarter was a good quarter. We're very proud of the numbers, but it certainly wasn't goldilocks. I mean, we had sales, we missed. We had planned inefficiencies. Our pricing increases didn't come into effect until April 1. So we were eating commodities in the first quarter. Part of Europe was closed, quite frankly, for most of the quarter, we got customers on allocation. And so although the numbers are good, we certainly don't think that it was goldilocks by any means.
Operator: Thank you. Our next question comes from Jonathan Matuszewski with Jefferies. You may proceed with your question.
Jonathan Matuszewski: Thanks for taking my question. Scott, you mentioned the sleep data from the Smart Base, bringing you closer to the consumer with the rollout now complete? Could you elaborate on that a little bit more? What's surprising you in the data? And how is that informing your latest thoughts in terms of innovation efforts to solve consumer pain points beyond temperature and storing in the future? Thanks.
Scott Thompson: Yes. It's a great long-term question. But I'm going to have to kind of kick it for a few quarters because we have launched it the Base, the Base is doing better than we expected in the marketplace. And our retailers are extremely happy with increased attachment rates and increased ASP. We are just now gathering the data and our partners are analyzing the data. And so it's a little early to really point to any particular insights. But we're thrilled about getting closer to the customers. And I think over time, I'll be able to answer that question probably more crisply than I can answer it today.
Operator: Thank you. Our next question comes from Brad Thomas with KeyBanc Capital Markets. You may proceed with your question.
Brad Thomas: Hi, thanks. Great quarter here. My question was around ASP, clearly a lot of favorable drivers that you have in terms of ASP. But the question that were often asked is, how much price you're taking and how much that might open up the risk to demand destruction or competitive pressures in the future. And so Scott, I was hoping you could just talk a little bit more about the different drivers of ASP between mix and attachment rate, and how you're feeling about the trends and price right now?
Scott Thompson: Sure. I mean, a couple of things. When ASP was very strong, and ASP was strong last quarter, I think it goes to health and wellness, quality of products, and quite frankly, a great job the retailers are doing out in the field explaining customers the benefits of higher quality bed rather than a lower quality bed. Whole industry is, obviously pushing the price through from a commodity standpoint. So that's part of it. I think, really, the health and wellness factor is probably the bigger driver from an ASP standpoint. From a competitive standpoint, I guess I don't really feel that too much. We're at all price points. So, we can play at any price point with a suite of brands. And we can pick and choose where we want to put those price points within the family of the company, which gives us quite a bit of optionality from a competitive standpoint. So I don't feel a lot of pressure, I guess from others. And I think others are being rational in their pricing. We've seen pretty much everybody move price up, as commodities move up. As Bhaskar called out in his prepared remarks, now we do have this what I call this short-term hidden commodities. But on that we chose to not pass that on because that that commodity increase is on chemicals. It is directly related to a weather event. And based on history, when we look at hurricanes or other events, those kinds of things have a tendency to spike and then come back very quickly. And so that's a price increase that doesn't seem appropriate to pass on to our customers.
Bhaskar Rao: One thing to add there is that as you think about ASP, the growth is not only price, however, it's the mix within Tempur and as the mix within Sealy as well. They're mixing up. So the ASP increase is not purely driven by price.
Bhaskar Rao: Yes, I guess it's what we should call that which we've done a few times, but it's good watch out is, in 2020, and this quarter, the Sealy brand was constrained. And so you know, as it gets unconstrained, it's probable that the Sealy brand would grow faster than Tempur as we work off backlog and meet customer demand and that price point that we haven't been able to meet over the last 9 months or so.
Operator: Thank you. Our next question comes from Carla Casella with JPMorgan. You may proceed with your question.
Carla Casella:  the M&A environment whether that's changed at all given the supply chain that you and I'm sure others have seen.
Bhaskar Rao: The M&A environment, and I guess changes every week just to kind of an overview. So we're all on the same page. Lots of opportunities in our sector, generally smaller companies, both from a supplier standpoint, retail standpoint, there's a lot of smaller players out there. A lot of liquidity in the marketplace, so sometimes pricing isn't rational. And so we've kind -- we kind of hold back to a kind of patient and opportunistic. I would say, everyone, if you talk about the supply chain specifically, which is the direction of your question, I think all of us are looking at our supply chain and making sure that we have the right relationships long-term, making sure those relationships are robust. And we're continuing to aggressively look at our supply chain and make sure that we've got the right partners long-term.
Operator: Thank you. Our next question comes from Atul Maheswari with UBS. You may proceed with your question.
Atul Maheswari: Good morning. Thanks for taking my question. How much did stimulus benefit the first quarter sales? Are you able to quantify that in any which way? And then second, part of the question is related to your guidance. So the guidance would imply nearly a double-digit growth rate in the back half of the year for revenues, assuming the second quarter is up 50. So you are lapping very tough comparison in the back half and there's just -- there is the possibility of consumers focusing less on home as the economy hopefully reopens by then. So at this point, what's giving you the confidence that you can achieve that level in the back half? Thank you.
Scott Thompson: Let me see if -- you're very tactful in getting 12 questions in on one, because Bhaskar has been writing them down rapidly as you ask the questions. The stimulus checks, we just wanted to call out there's no question that when stimulus checks go through the U.S., our retailers feel that almost instantly at retail. Generally, that's been lower in product. So I don't think it drives much from an EBITDA standpoint, but we certainly wanted to call it out. My guess is and it's a guess you can't -- is what the stimulus checks probably helped a little bit the first quarter. Let's just say they go away, and I'm not sure they're going away. But the improving economy should more than make up for the stimulus checks going forward is our expectation is continued growth and employment. What else was on his list of questions, Bhaskar?
Bhaskar Rao: Back half growth.
Scott Thompson: Looks good, right? I guess, barring some event that derails the economy, it looks like to us consumers in the U.S and quite frankly, worldwide are in pretty damn good shape. The savings rate was up quite a bit. Interest rates continue to be in control. Consumer confidence seems to be growing everywhere we look. So that all feels good. And like I said barring some event, we don't see a problem there. If you're worried about, we'll call the shift to wallet effect when I gave you some numbers a second ago, we got Goldman reports. But more importantly, probably from my perspective is we look at economies that have been open longer, and have gotten closer what we'll call normal, whether that be China, or that be Korea and these markets that have not quite normal, but they're pretty close to normal. We're not seeing a big pullback in furnishing and bedding expenditures. And in fact, those markets are probably doing even better. So I guess that's a long winded answer to say we don't see a lot of black clouds. So what do we worry about? We worry about what maybe we don't see or don't know, but from what we can see and know things are pretty good to us.
Operator: Thank you. Our next question comes from William Reuter with Bank of America. You may proceed with your question.
William Reuter: Hi, my question is about the $25 million number that you mentioned. I think that was inflation for '21 as a whole, but is that encompass more than just raw materials including ocean freight etcetera. And then as we think about another round of price increases, do you believe that a subsequent round will make it such that there will not be gross margin pressure on the back half of the year?
Scott Thompson: Sure, good question. So as it relates to the $25 million, that is specifically what we have seen during the first quarter, that will not be impacted or not be offset by price during the second. So let me say that, again, the commodity increases for going from '20 to '21 are greater than what we've seen in a while. The specific call out on the $25 million is associated with a temporary inflation that we see that directly coming out of the winter storm that we believe is temporary. And then therefore, we're not putting price out there to offset it. The majority of that $25 million we should see in the second quarter. However, all that said is that to the extent it hangs around a little bit, we will consider price as we think about that from a go-forward perspective. As it relates to what's included in there, it is predominantly the $25 million, its predominantly associated with chemicals associated materials coming out of the disruption caused by the storms.
Operator: Thank you. Our next question comes from Laura Champine with Loop Capital. You may proceed with your question.
Laura Champine: Thanks for taking my question. It's to dig in a little bit more on the supply chain issues. You mentioned that the Tempur brand builds to stock whereas the Sealy and Sherwood I think build to order, what's your normal practice for chemical purchases in terms of weeks of supply? And is that changing at all as a result of some of the supply chain issues we've seen?
Scott Thompson: Sure. First of all, let me give the call out to our operation team that over the last few years, they have requested capital expenditures to increase our tank size for just this kind of event to have more safety stock from a chemical standpoint. So those investments were made at their request, and certainly been helpful during this period. Obviously, we talked about days supply, it obviously depends on demand and so demand varies some. But I'm going to say that from a chemical standpoint, we probably have 30 days, Bhaskar, would be kind of a general target …
Bhaskar Rao: Right.
Scott Thompson: … in chemicals, but then also we have inventory. And, again, thank you operations, probably, I guess it was May last year we went through and purposely up the inventory from a day supply in anticipation of pretty robust coming out of lockup. And so we've been carrying more inventory for Tempur's, starting, I think like last May or last June.
Bhaskar Rao: Right.
Scott Thompson: And I'm going to say that's generally north of 30 days. So combine that -- that works as a pretty good cushion for what would we would have probably planned on more like a hurricane event. And thus, Tempur has been in stock and on shelf during this period where we've had constraints in the -- from Innerspring and from a chemical standpoint.
Operator: Thank you. Our next question comes from Jenna Giannelli with Goldman Sachs. You may proceed with your question.
Jenna Giannelli: Hi. Thanks for taking my question. I know there's been a few on just the supply chain. But one more if I can, perhaps clarification. The $80 million to $100 million of potential sales headwind and the $10 million gross margin that was helpful color. In prior quarters, has it been about the same or to a similar degree as we've dealt with in the supply chain headwinds? Just as we think about as we start to come out of it what the potential tailwind could be going forward? Thank you.
Scott Thompson: Sure. I'm going to say the constrained sales, I think were slightly less. I think we've been calling out about $100 million in the second and third quarter from a sales line, again, that’s Sealy and Sherwood product, and it's probably more like $80 million to $100 million in the first quarter. So obviously, slightly less from a sales standpoint. I'm probably going to say the disruption in the plants has been worse this quarter than in the second, third quarter, because we got hit from a combination of the spring issue and the chemical issue. And the chemical issue has been more probably more difficult from a plant operation standpoint …
Bhaskar Rao: That's right.
Scott Thompson: … because it's disrupted, Tempur and Seeley. And quite frankly, it's hard to figure out what to do if you don't get the foam  you need, when you need it. So, it's been worse from a run sloppy or whatever we want to call -- the call out from an operational standpoint by probably several million this quarter versus …
Bhaskar Rao: I would say about $10 million versus what we -- what we've seen. We've had the running sloppy implications as you called out Scott, but it was worse, complicated by the chemical shortages that we faced. And as we said is that we do anticipate those to go away as we get out of the second quarter. But I would have imagined we'll see a bit of sloppy in the second quarter as well.
Scott Thompson: Yes, the point really is on the compare for first quarter next year. You've got the constrained sales, you've got the running sloppy, you got the price effects for the commodities that didn't go into play till April 1. European operations were closed, open, closed, open, depending on which country. And  very much fun for our sales group, because we have some customers on customer allocation in North America. So it does lead you to believe that there are some tailwinds first quarter next year.
Bhaskar Rao: 100%.
Operator: Thank you. And our next question comes from Seth Basham with Wedbush Securities. You may proceed with your question.
Seth Basham: I just had a follow-up thinking about the incremental operating margins. In the first quarter, despite the inefficiencies you guys had very strong and  operating margins, well over 30%. How should we think about the rest of the year? Should we think about the second quarter given these commodity cost headwinds, relative pricing being the lowest and then seeing acceleration again in the back half of the year?
Bhaskar Rao: Sure. Just broadly speaking, the way I would think about it is gross profit on a full year basis, I would -- I think about it as stable as I think about diving into the second quarter, let's call it, we had a really nice first quarter just given all some of the challenges, perhaps stable to slightly down on GP. And as I think about, again, full year operating margin, one of the items to consider as we always do think in the long-term, so we do intend to continue to support our brands from an advertising standpoint. So we'll make that investment as we think about the rest of the year.
Operator: Thank you. And I'm not showing any further questions at this time. I would now like to turn the call back over to Scott Thompson for any further remarks.
Scott Thompson: Thank you to the over 9,000 employees around the world. Thank you for what you do every day to make the company successful. To our retail partners, thank you for your outstanding representation of our brands. To our shareholders and lenders, thank you for your confidence in the Tempur Sealy leadership team and its Board of Directors. With that, that ends our call today operator.
Operator: Thank you. Ladies and gentlemen, this concludes today's conference call. Thank you for participating. You may now disconnect.